Operator: Good morning, everyone. Welcome to the Pollard Banknote Limited Second Quarter 2025 Results Conference Call. Listeners are reminded that certain matters discussed in today's conference call or answers that may be given to questions asked could constitute forward-looking statements that are subject to risks and uncertainties related to Pollard's future financial or business performance. Certain material factors or assumptions are applied in making forward-looking statements, and actual results may differ materially from those expressed or implied in such statements. The risk factors that may affect the results are detailed in Pollard's annual information form and other periodic filings and registration statements, and you can access these documents at SEDAR+ database found at sedarplus.ca. I would like to remind everyone that this conference call is being recorded today, Thursday, August 14, 2025. And I would now like to introduce Mr. Doug Pollard, Co-Chief Executive Officer of Pollard Banknote Limited. Please go ahead, sir.
Douglas E. Pollard: Okay. Thank you very much, Jenny, and thank you, everyone, for joining with us today. On the call is John Pollard, Co-CEO; and Rob Rose, CFO. We released our second quarter 2025 results yesterday. You can access our news releases as well as our financial statements and MD&A on our website at pollardbanknote.com and also on SEDAR+. Today, we will start with prepared remarks from myself highlighting our 2025 second quarter operating achievements and overall business update, and John will then follow up discussing our second quarter results. As usual, we'll then open it up to questions. So the second quarter was a solid quarter. We continue our investments, and we continue to benefit from the breadth of our gaming offerings. We had lower instant ticket contributions relative to last year and some ongoing start-up costs of our Kansas iLottery operation were mostly offset by higher contributions from our NeoPollard joint venture as well as higher contributions from our printed charitable products and higher results from our retail solutions offerings. John will provide some specific financial details shortly. Overall demand for our product at the consumer level remains positive with sales of retail scratch-off instant tickets and retail dollar sales up slightly over last year. This comes on the heels of a year or 2 of relatively flat sales, which in turn followed significant increases during the pandemic years. Our actual sales volume of instant tickets during the second quarter of 2025 remained steady compared to the first quarter of 2025, but lower than the second quarter of last year, mostly due to the timing of customer orders and some sales being pushed into the third quarter this year. Based on our current schedules, our third quarter volumes are expected to be higher than the volumes produced and sold in the first 2 quarters of 2025. We also continue to focus our pursuit of work from our customers that have higher margins versus chasing lower value work. Our average selling prices of our instant tickets continues to increase relative to last year, owing to the higher selling prices, reflecting the full impact of our repriced contracts during 2025. We continue to look at opportunities to appropriately raise our prices and ongoing bid opportunities. And we are singularly focused on improving our instant ticket margins with a number of identified strategies to improve not only the revenue side of the margin equation, but also improving our cost structure and our efficiency in order to enhance our margins. In fact, towards that end, we have recently added to our instant ticket senior management group to ensure that we have the necessary resources to accomplish our objectives. Demand for our other products and solutions remains solid, including charitable gaming printed products and eTabs and ancillary products and solutions such as retail point of sales and dispensers. A good example of our success building the complete suite of lottery products and solutions was the 3-year extension during the quarter of our warehouse and distribution solution for the Arizona Lottery, where we essentially run this critical component for the lottery instant ticket and pull-tab operation. Now our Kansas iLottery solution completed its first full quarter of operations in the second quarter, and it continues to meet expectations. As expected in a new start-up operation of this size, we will be absorbing a negative contribution to our financial results while the player base builds, but Kansas has become an important calling card in our focus of building our state-of-the-art catalyst gaming platform and proprietary e-instant games. Interest by lotteries in expanding their offerings to include an iLottery solution, both in greenfield solutions or situations, I should say, and existing operations looking to replace existing technology, that remains very active. Formal RFPs are still in process, including the Massachusetts Lottery and the Belgium Lottery, and a number of other lotteries continue the discussion in this area. As you know from our previous discussions, the RFP and sales process for iLottery can be a very long cycle, but we are optimistic that further jurisdictions will go down the path of introducing or updating their iLottery technology as this has shown to be a critical component for lottery success. Our NeoPollard Interactive joint venture achieved new record results in the second quarter of 2025 after establishing a prior record in the first quarter of '25. Continued very strong sales of eInstants led the way in Virginia and North Carolina. Our joint venture contracts continue to generate meaningful results and cash flow. And with a number of long-term contracts and extensions already on the books, we will be doing so for a number of years. Our eInstant game studio is producing more eInstant game content and increasing the number of games and customers. In addition to our existing eInstant games deployed in a number of places like Ireland and Kansas, during the quarter, we went live with our games in Norway, Virginia and West Virginia. And the feedback we're receiving on these games is very positive. Effective game content is an extremely important success factor in the lottery and charitable gaming world. And ultimately, one of Pollard's greatest strengths throughout our history has always been great game content. And this is true for both printed and electronic products and solutions, which allows us to not only develop original content, but also the ability to cross over successful game content across multiple platforms, such as iconic franchises like Pac-Man and Frogger. Schafer Retail Solutions+ generated higher contributions in the second quarter, led by our legacy ticket dispensers and bolstered by the growing success of our new innovative retail products, including our Halo solution, a light surround ancillary, which effectively highlights and draws attention to retail ticket displays and thereby grows instant ticket sales and our digital menu board, a creative and individualized way of reaching out to customers at retail to boost sales of lottery tickets. And -- sorry, on April 1, 2025, we acquired Pacific Gaming, a leader in the charitable bingo market, particularly in the provision of handheld electronic bingo devices, an important segment in that market. The integration has gone well and combined with our purchase last year of Clarence J. Venne, a leading manufacturer of bingo daubers, provides a complete suite of products and solutions for the charitable gaming market. We are already seeing revenue synergy developing in these customers as we offer items like printed products in connection with these new bingo-related solutions. eTab gaming within the charitable gaming market has been a strong performer. Starting January 1, 2025, the state of Minnesota adopted certain regulatory changes on what type of gameplay was allowed. These changes have resulted in a reduction in gameplay and gross gaming revenue across the entire Minnesota market and all suppliers, including us, have had their offerings affected. We are currently aggressively developing additional eInstant -- sorry, eTab game content and expanding our game content in Minnesota to further adopt to the new regulations and targeting a recovery in gross gaming revenue as a result. As well, we are investing significantly and now rolling out our newest eTab ICON cabinets in a number of existing jurisdictions to provide innovative gaming interactions as well as building capacity for new greenfield jurisdictions. We anticipate more jurisdictions coming on stream in the next 18 months, and we will look to expand aggressively into these opportunities. And I'll finish my comments by providing out that we recently celebrated our 20th anniversary just a couple of days ago, of our initial public offering back in 2005. The lottery and charitable gaming world continues to evolve as it has the past 2 decades, and we are very pleased that Pollard Banknote has evolved during that time while still staying true to our core mission, being a partner of choice to the lotteries and charities that generate money for good causes around the world through our partnerships. Now I'll turn it over to John Pollard to highlight our first quarter results.
John S. Pollard: Okay. Thanks, Doug. So during the second quarter, we achieved a traditional GAAP sales of $142.7 million compared to $137.8 million in the first 3 months of last year. Although we like to focus on the combined sales, which also includes our proportionate share of our NeoPollard joint venture, and on that basis, we attained revenue of $174.8 million in this quarter compared to $166 million last year. Our higher instant ticket average selling price in the second quarter of this year increased sales by $4.5 million compared to 2024, primarily due to the impact of the repriced contracts we've been talking about so much for the last year or so, and we had a slight improvement of change in customer mix. Unfortunately, offsetting this increase to revenue was a decrease in instant ticket sales volumes of $9.2 million compared to 2024, mainly as a result of certain customers getting pushed later in the year. Higher sales of our ancillary lottery products and services increased revenue in the second quarter of 2025 by $1.2 million. This growth was largely due to increased sales of our retail merchandising products and the distribution services that Doug just talked about. These increases were partly offset by decreased sales of our -- some of our digital products. Higher charitable gaming volumes increased sales by $6.8 million in the second quarter of 2025 compared to the Q2 of 2024. This was largely due to our recent acquisitions of CJ Venne and Pacific Gaming. In addition, the higher average selling price of charitable printed products further increased sales by $0.5 million. These increases in sales were partially offset by a decrease in charitable e- gaming or eTab revenue of $1.5 million compared to 2024, which was largely due to the impact from the regulatory changes that Doug just talked about in Minnesota. Lower Michigan iLottery sales decreased revenue in the second quarter by $0.9 million compared to 2024, reflecting the ongoing competitive environment in Michigan from private iCasino gaming. Lastly, the weakening of the Canadian dollar compared to the U.S. dollar and euro compared to the same period in 2024 resulted in an increase of approximately $3.5 million in sales. Our gross profit decreased to $23.9 million or 16.7% of sales in the second quarter of 2025 from $29.2 million or 21.2% of sales in the second quarter of 2024. This decrease of $5.3 million in gross profit and the decrease in gross profit percentage that goes with it were caused roughly equally by 3 things: one, our lower instant ticket margins, which is largely the result of lower instant ticket volumes that we just talked about. Secondly, the impact of our iLottery start-up costs related to the Kansas iLottery operation. And thirdly, and lastly, due to our lower eTab sales margins largely due to the Minnesota situation that we just talked about. Partially offsetting these decreases in gross profit, however, were the increased margin from charitable gaming products, including the impact of the acquisitions of CJ Venne and Pacific. Administrative expenses were $17.6 million in the second quarter of 2025 compared to $16.5 million in Q2 of 2024. That increase of $1.1 million was largely the result of increased software licensing costs and the addition of CJ Venne and Pacific to our administration expenses. Sequentially, the $17.6 million in this quarter is very similar to the $17.3 million of admin expenses in the first quarter of this year. Our selling expenses increased to $16.5 million from $5.7 million in Q2 of last year, and that increase of $0.8 million was primarily due to the addition of CJ Venne and Pacific. Our share of income from our iLottery joint venture increased to $17.7 million in Q2 from $14.1 million last year. This $3.6 million increase was primarily due, as Doug just referred to, to the continued strong eInstant sales growth in North Carolina and Virginia. Those jurisdictions continue to go really well. And of course, as we pointed out, that is a record quarter for our joint venture. Our adjusted EBITDA decreased to $29.2 million in the second quarter of 2025 compared to $32.3 million in the second quarter of 2024. The primary reasons for that $3.1 million decrease were the decrease in gross profit that we just referred to, which net of amortization and depreciation was $4.1 million. Substantially of that was a result of those 3 things that we just referred to, the instant ticket to lower volumes, our iLottery operational costs during the start of Kansas and the lower eTab sales margins in Minnesota. Further reducing adjusted EBITDA were the increased administration expenses of $1 million and the increase in selling expenses of $0.8 million and the increase in the foreign exchange realized loss of $0.8 million. Partially offsetting those decreases to adjusted EBITDA were the increase in our joint venture â€“ NeoPollard joint venture income of $3.6 million. Interest expense increased to $3.1 million in the second quarter from $2.5 million in the second quarter of 2024, and that was primarily a result of an increase in average long-term debt outstanding compared to the last year, largely due to our 2 acquisitions that we completed in that time. Our net income was $8 million in the second quarter of 2025 compared to $11.9 million in the second quarter of 2024. That decrease of $3.9 million is primarily due to that decrease in gross profit that we referred to above. Further reducing income with the administrative expenses of $1.1 million and the selling expense of $0.8 million also referred to and the foreign exchange realized loss of $0.7 million. Also, the increase in our interest expense of $0.6 million. And offsetting those decreases in net income were the increase in our NeoPollard joint venture income of $3.6 million and a decrease in other expenses of $1.1 million. The net income per share on a basic and fully diluted basis decreased to $0.30 and $0.29 per share, respectively. And in the second quarter of 2025, that was $0.44 and $0.43, respectively. During the second quarter, our cash flow from operations generated approximately $26 million in positive cash flow. [indiscernible] business as we can generate significant swings in working capital from quarter-to-quarter, particularly on our accounts receivable. During the second quarter, our investment in noncash working capital was reduced following a significant buildup in the first quarter of 2025, and we anticipate that trend to continue with further reduction in the third quarter of 2025. Just talking quickly about the international trade and tariff environment. Obviously, there remains significant uncertainty about the nature and extent and duration of various protectionist trade measures, including tariffs that have been and may be enacted within North America. We continue to believe that our current structure of our business model, including our extensive manufacturing facilities located both in Canada and the U.S. will ensure there is no material impact to our operations and financial results. We have the ability to produce almost all of our products we sell to our U.S. customers in our U.S. manufacturing facilities and similar capacity to service most of our Canadian customers from our Canadian capacity. As well, our supply chain has options in situations where there could be cross-border flows impacted by tariffs for either of our Canadian or U.S. manufacturing facilities that will also help us to mitigate negative impacts. Lastly, of course, historically, the lottery and charitable gaming markets we participate in have been generally very resilient to any negative impacts of economic downturns. And so should the overall economic environment be impacted negatively by these ongoing trade challenges, we're well suited to withstand those. We'll continue to monitor developments and assess any additional short- and long-term measures and [indiscernible] need to be taken to mitigate any potential negative impacts. Overall, though, we really feel we're in a good position with respect to the whole tariff situation. Lastly, I'll just end with a quick comment about the results in the first 6 months combined of 2025. When taken as a whole, our financial results have met our expectations for that period and produced strong numbers. We have achieved record revenue of $288.9 million in the first 6 months of the year and also record combined revenue of $352.7 million. And the adjusted EBITDA number for our 6 months of the year is also a record of $59.8 million. So this really reflects just the underlying strength of our lottery and charitable gaming business and the measures that we've been taking over the last number of years. As Doug mentioned, we expect higher contributions from our instant ticket business in the third quarter this year based on greater volumes and improved average selling prices. And we look forward to continued opportunities in other areas of our business, including our iLottery area and our electronic pull-tabs in the charitable space. That's the end of our prepared part of our discussions. Operator, we'll be happy to entertain any questions at this time.
Operator: [Operator Instructions] Your first question is from Jim Byrne from Acumen Capital Partners.
Jim Byrne: Maybe just a few questions. Maybe on the eInstants to start, you mentioned some of the new wins and penetration you've got in Virginia, West Virginia, Norway, Kansas, obviously. When does that start to be impactful, something that you might want to quantify in terms of an impact to the financials in the next -- is that the next couple of quarters or the next couple of years? Maybe just help us understand how impactful that business could be.
Douglas E. Pollard: Well, thank you, Jim. It's Doug Pollard speaking here. Let me just say that we are pleased with the progress to build up our eInstant content. Like a lot of things in the lottery world, it is a fairly long sales cycle. And so you start out in some of these markets, you get one game and you want to show that you can do a good integration and be a good partner to work with and you grow from there. At the same time, we, of course, are developing more game content all the time. And even developing that game content, it takes several months to get a great game. So I would expect that while that is growing, it's still going to be a bit of time before that becomes something that we're going to break out separately.
Jim Byrne: And then maybe on the NPi, obviously, really strong results. No major jackpot runs here really for the whole year. What do you account for that strength? And how much more growth can you expect out of North Carolina and Virginia here?
Douglas E. Pollard: Well, North Carolina and Virginia have really done a great job at driving eInstant sales. And within NPi, we talked about that a lot that we are still trying to drive draw game sales outside of jackpot runs, but it's hard. What is within our control is the eInstant sales. And that comes from perfecting our marketing that we do to our existing player base. Of course, we're always trying to grow our player base, but really, you're trying to bring more and better games. And remember, the unique thing about iLottery is you are building up a database and all bunch of information about those players. And in many cases, for example, in North Carolina, where Pollard Banknote also provides a loyalty solution as part of that. That's how we build up all these insights into players. And that allows us to continue to not just develop games, but really market those games to those players and continue to make changes. And we keep adding things like progressive jackpots and those kinds of things, too. So I think there's lots of growth still possible in those markets. We may not see the 20%, 30% a year growth that we've had in previous years as they mature, but there's still lots of growth there. And of course, I don't even like to say the name of the game, which is currently rolling, but we'd like to see that continue. And that's an important way of replenishing our player funnel, and that's also going to drive growth going forward, too, as we then work to market to those players that we acquire in a jackpot run and try to keep them playing on an ongoing but responsible basis with the lottery.
Jim Byrne: And then maybe just lastly, I don't necessarily want to bring it up, but Michigan is changing next year. Maybe just help us understand kind of the puts and takes for your financials when the -- that contract changes next year.
Robert Rose: I can answer that, Jim. It's Rob here. So I think it's pretty clear based on our disclosure, you can see the puts and takes because we do break out Michigan on a contribution basis. So Michigan, as you know, is a very competitive market. When they came first out of the gate, they were a very successful iLottery and they're under a lot of competition now with the private iCasinos. And you can see our information on the MD&A that we disclosed in the press release. It's been fairly flat the last couple of years. And so essentially, in the third quarter of next year, that will drop off to be as simple as that.
Operator: [Operator Instructions] And your next question is from David McFadgen from Cormark Securities.
David John McFadgen: So you highlighted a number of iLottery contracts that you guys are chasing. I don't know if you can comment on this, but we're always kind of wondering if we're going to get news on this in the next quarter or 6 months. I think Ohio has been going on for years now. And just kind of wondering, we might have some news. Any -- can you provide us any information on that?
Douglas E. Pollard: I mean, unfortunately, there's no specific news we can give you beyond what we know about the ongoing RFPs that are in progress. And I can tell you that we speak to lots of lotteries. They are all very well aware that iLottery is an important part of their growth opportunities, and they're increasingly starting to see a legislative path to move forward with that. But when some of those will actually get nudged forward to actually issuing an RFP and making a decision, I don't think we can forecast that today.
David John McFadgen: And then just on the instant ticket business. I mean, so it's kind of been a bit soft in the first half of the year. I know you're expecting a pickup. But if you look for the full year, I know you don't want to provide guidance, but I mean, is it reasonable to expect that, that business could grow high single digit this year?
John S. Pollard: It's John. I'll answer that question. From a volume perspective, we are still being a little bit selective about the kind of work we go after in terms of -- as we've talked about for the last year or so in terms of not chasing after some of the low-volume work. So it does put a bit of more pressure on our sort of pure volume of instant tickets to show increases. We're more focused on trying to increase our overall margins. So look, we would anticipate that our volumes for -- our physical volumes for this year likely would be similar to last year, but we'd expect to be growing our margins overall in the business for sure, as we're going after the work that's really more valuable to us.
David John McFadgen: And so just continuing on the whole margin idea, you guys repriced, I think, all your business on the instant ticket side. I know it takes a while to see...
John S. Pollard: Sorry, [ Jim ]. We probably repriced more like in the range of 75% of it over the last few years because that's all we could because the other ones haven't come up for bid yet, I mean. So we're at about 75%. The remaining ones will come up for bid over the next year or 2 or 3. And depending on market environments at the time, we'll hope to be able to bump those prices up, too, but we'll see what happens there. But yes, we're not -- haven't repriced all of them yet.
David John McFadgen: So for the stuff that you've repriced would Q2 be a reflection of the benefits of those repricing? Or we still have to wait a few more quarters to get the repricing cycling through the financials?
John S. Pollard: Well, so all of that -- all of our repricing that we've done in the prior years has now flown into both Q1 and Q2 of this year. No difference in those 2 quarters essentially. We had some differences in our average selling price just due to mix, as we've talked about in our quarterly releases. So just our mix was lower, average selling price was, therefore, lower in Q2 than Q1. So I wouldn't want to say that Q2 was typical of what we expect for average selling price because you really need to blend the first 2 quarters together, I would say, to get sort of a more average selling price for us. But blended together, those first 2 quarters of this year would reflect all of those price increases on the 75% of our work that we so far have repriced.
Operator: There are no further questions at this time. Please proceed.
Douglas E. Pollard: Okay. Thank you, Jenny. So just in concluding, we are very excited about the opportunities we see before us, and we are confident of the investments that we've been making in our business and that are going to allow us to capitalize on those opportunities. Our business is well positioned to generate improved financial results going forward with both our traditional printed products as well as digital products and solutions such as iLottery and eTabs. 2,600 dedicated Pollard Banknote team members are singularly focused on ensuring that Pollard is the partner of choice for lotteries and charitable organizations as they generate much needed funds for good causes. Thank you for joining us today, and we look forward to updating you on our business in November. Until then, have a great rest of your day.
Operator: Thank you. Ladies and gentlemen, the conference has now ended. Thank you all for joining. You may all disconnect your lines.